Operator: Ladies and gentlemen, thank you for standing by. The conference will begin shortly. Ladies and gentlemen, thank you for standing by. Welcome to Gilat Satellite Networks Ltd.'s Third Quarter 2025 Results Conference Call. All participants are present in listen-only mode. Following management's formal presentation, instructions will be given for the question and answer session. As a reminder, this conference is being recorded on November 12, 2025. By now, you should have all received the company's press release. If you have not received it, please view it in the News section on the company's website, www.gilat.com. I would now like to hand over the call to Ms. Jody Berfman, of Alliance Advisors IR. Ms. Berfman, please go ahead.
Jody Berfman: Thank you, Hilla, and good morning, everyone. Thank you for joining us for Gilat Satellite Networks Ltd.'s earnings conference call for 2025. With us on the call today are Mr. Adi Sfadia, Gilat's CEO, and Mr. Gil Benyamini, Gilat's Chief Financial Officer. Before turning the call over to management, I would like to remind everyone that some statements made during this conference call contain forward-looking statements based on current expectations. Actual results could differ materially from those projected as a result of various risks and uncertainties. Potential risks and uncertainties could cause actual results to differ materially include global economic conditions, reductions in revenues from key customers, delays or reductions in U.S. and foreign military spending, acceptance of our new products on a global basis, and disruptions or delays in our supply of raw materials and components due to business conditions, global conflicts, weather, or other factors not under our control. The company cautions investors not to place undue reliance on forward-looking statements, which reflect the company's analysis only as of today's date. The company undertakes no obligation to publicly update forward-looking statements to reflect subsequent events or circumstances. Further information on these factors and other factors that could affect Gilat's financial results is included in the company's filings with the Securities and Exchange Commission, including the latest quarterly report on Form 10-Q. In addition, on today's call, management will refer to certain non-GAAP financial measures that management considers to be useful and differ from GAAP. These non-GAAP measures should be considered supplemental to corresponding GAAP figures. With that, I would now like to turn the call over to Gilat's CEO. Please go ahead, Adi.
Adi Sfadia: Thank you, Jody, and good day to everyone. Thank you for joining us today to discuss Gilat Satellite Networks Ltd.'s 2025 results. Please note that we are posting a PowerPoint presentation on our website with all the data we will discuss today. The 2025 was a strong quarter for Gilat and showed strong revenue including solid organic growth and adjusted EBITDA performance. Our competitive edge across the satellite communication landscape and success in next-generation satellite programs is clearly translating directly into new orders and growing opportunities. During the quarter, we announced a $66 million private placement from institutional and accredited investors. This demonstrates the confidence of the investment community in Gilat's strategy and performance, providing additional strength to support our next phase of growth. At the end of the quarter, we had a very strong cash position. An example of our efforts to create a competitive edge is our first-to-market integration of AI into our network management system. This marks an important step in bringing AI-driven automation and intelligence to satellite network operations, allowing customers to manage their network with greater efficiency and insight. This reflects our commitment to innovation and our active role in shaping the future of intelligent platform solutions. We expect to introduce additional AI capabilities as we progress with the roadmap development. Third-quarter revenues reached $117.7 million, a 58% increase year over year. Adjusted EBITDA was $15.6 million, 46% above the same quarter last year. Now on to the business review. Gilat Defense continued to invest in sales, marketing, and R&D resources to support business development. Gilat Defense is front and center, actively engaging with customers across North America, Europe, and Asia Pacific. Our unique advantage lies in the combined strengths of Gilat, Data Pass, Wavestream, and Stellar Blue. This collaboration enabled us to deliver comprehensive Satcom solutions that support the full spectrum of defense operations. During the quarter, Gilat Defense received over $14 million in orders through a prime contractor for its DKAT terminals from the U.S. Army and the Department of Defense, broadening our presence across key defense programs. In Israel, Gilat Defense strengthened its relationship with the Israeli Ministry of Defense through a new multimillion-dollar contract for the delivery and integration of satellite communication systems and services. With a robust pipeline, trusted partnership, and proven execution, we are well-positioned to capture additional opportunities as global demand for secure satellite communication continues to rise. Turning to our commercial business, the third quarter delivered strong results driven by new wins, continued adoption of our next-generation platforms, and steady execution across major programs. These results reflect both the rapid evolution of the satellite communication market and Gilat's ability to deliver the technology and performance our customers require. Operators worldwide are investing in flexible multi-orbit ground networks that can seamlessly support fixed broadband, mobility, and government applications. Gilat's SkyEdge platform remains central to this transformation, combining scalability, reliability, and advanced network management via virtualized software-defined ground infrastructure. During the quarter, Gilat received $42 million in orders from leading global satellite operators for SkyEdge IV for use across multiple applications, mainly in-flight connectivity. These systems will expand the worldwide deployment of our platform and strengthen Gilat's position as a preferred choice for next-generation connectivity in a multi-orbit environment. Demand continued to build for Gilat's IFC solutions as airlines and system integrators expand adoption of our technology for next-generation aircraft connectivity. Recently, we received an order of approximately $7 million to supply IFC equipment. This order demonstrates the growing trust of leading aviation partners in Gilat to deliver reliable high-performance connectivity for IFC. During the quarter, Gilat signed a strategic partnership agreement and received an initial order for SkyEdge IV from a leading satellite operator in the Asia Pacific region, supporting both fixed and cellular backhaul connectivity. Together, these wins highlight strong market confidence in our technology and reinforce our position as a key enabler of multi-orbit broadband connectivity worldwide. Gilat was awarded more than $60 million in orders from a leading satellite operator for its Stellar Blue's Sidewinder ESA IFC terminal. With about 300,000 community flight hours and about 350 terminals already deployed, the Sidewinder continues to set new benchmarks in performance, reliability, and experience. Production is ramping up, and we expect increased deliveries with improved margins in the coming quarters. Gilat's Stellar Blue continues to collaborate closely with its partners to secure new fleets and expand its global reach. The growing pipeline in our commercial business continues to benefit from demand momentum and expanding customer adoption across key markets. The combination of major satellite operators' awards, growing IFC demand, and the integration of Stellar Blue testifies to Gilat's leadership in next-generation connectivity, positioning us well for continued growth into 2026. Gilat Peru delivered strong results this quarter, marked by an additional award of $25 million for an expansion project from Pronatel. This is on top of the $60 million projects awarded to us that was reported at the beginning of the quarter for a quarterly total of $85 million. The new awards will extend high-speed connectivity to additional public institutions, including schools, health centers, and police stations, as well as public Wi-Fi hotspots, further advancing Peru's digital inclusion goals. The impact of this project goes beyond connectivity, supporting access to education, healthcare, and public safety while creating the infrastructure needed for future broadband expansion. The project implementation is progressing on schedule, and we continue to anticipate additional large RFPs and follow-on orders for network expansions and renewals in the coming quarters. The experience and expertise gained in Peru are also being applied globally, allowing us to replicate successful models and accelerate digital inclusion programs in other markets. I am pleased to say that we continue to have a strong backlog and a healthy pipeline of opportunities in all divisions. On the strength of our results year to date, improved visibility, and business momentum, we are resetting our full-year guidance. We are narrowing our revenue range to between $445 million and $455 million for a higher revenue growth rate of approximately 47% at the midpoint. We have also narrowed our adjusted EBITDA guidance range, now targeting $51 million to $53 million for a higher growth rate of approximately 23% at the midpoint. Demand across our key markets is accelerating, and the strategic initiatives we have implemented are delivering measurable results. Gilat Defense continues to develop opportunities as governments expand investment in mission-critical secure satellite communications. Our focus remains on converting the growing pipeline into new awards in the United States and allied countries. In the commercial division, we are seeing broader adoption of our multi-orbit SkyEdge IV platform as operators scale their next-generation networks and invest in advanced broadband and IFC applications. Gilat's Stellar Blue is making steady progress as production increases and new fleet wins are secured, further strengthening our position in the global aviation connectivity market. In Peru, project execution remains on track, and we continue to expect additional RFPs and follow-on awards from Pronatel and other public programs. The operational expertise developed in Peru continues to serve as a foundation for similar digital inclusion initiatives globally. In summary, we delivered another strong quarter, validating our diversified growth engines across defense, commercial, and Peru. Gilat is actively strengthening its competitive edge through technological leadership in multi-orbit connectivity and the integration of SkyEdge IV and AI. With a growing backlog, a robust pipeline of opportunities, particularly in the IFC market, and a strong balance sheet, Gilat is well-positioned for sustained profitable growth and continued leadership in the global Satcom market. And with that, I will hand over the call to Gil Benyamini, our CFO. Please go ahead.
Gil Benyamini: Thank you, Adi. Good morning and good afternoon to everyone. Before I dive into the numbers, I would like to remind everyone that our financial results are presented both on a GAAP and non-GAAP basis. I will now walk through our financial highlights for 2025. As Adi mentioned, we delivered a strong third quarter, demonstrating continued execution across our strategic priorities and building momentum into the remainder of the year. In terms of our financial results, revenues for the third quarter were $117.7 million, representing 58% growth from $74.6 million in Q3 2024. Importantly, our organic growth quarter over quarter was 19%. In terms of revenue breakdown by segment, Q3 2025 revenues for the Commercial segment were $73 million compared to $33.8 million in the same quarter last year. The 116% growth was primarily driven by the in-flight connectivity vertical, reflecting both the contribution from Stellar Blue and organic expansion. Q3 2025 revenue for the Defense segment was $24 million compared to $31 million in the same quarter last year. The decrease primarily reflects the transition from mature programs to new programs and initiatives that are currently in phase. We secured a number of meaningful orders and awards that are expected to convert to revenues over the coming quarters. As a reminder, our defense business is inherently project-based, with deliveries and revenue recognition occurring over time. Looking ahead, we expect to see growth in this segment as these newer programs continue to scale. Revenues for Peru in Q3 2025 were $20.6 million, more than double the $9.8 million in Q3 2024. The increase was driven by higher revenues related to the new upgrade projects in four of the six regions in which we operate, as well as increased equipment deliveries. Our GAAP gross margin in Q3 2025 was 30% compared to 37% in Q3 2024. The decrease is primarily attributable to lower margins at Stellar Blue as production ramps up, as well as the amortization of purchased intangibles related to the acquisition. GAAP operating expenses in Q3 2025 were $27.2 million compared to $20.9 million in Q3 2024. The increase was primarily driven by the addition of Stellar Blue and the amortization of acquired intangible assets. As a result, GAAP operating income in Q3 2025 was $7.5 million compared to GAAP operating income of $6.7 million in Q3 2024. GAAP net income in Q3 2025 was $8.1 million or a diluted income per share of $0.14 compared to GAAP net income of $6.8 million or diluted income per share of $0.12 in Q3 2024. Moving to non-GAAP results, our non-GAAP gross margin in Q3 2025 was 32%, compared to 38% in Q3 2024. Non-GAAP operating expenses in Q3 2025 were $24.7 million compared to $20.2 million in Q3 2024. Non-GAAP operating income in Q3 2025 was $12.8 million compared to $8.3 million in Q3 2024. The non-GAAP net income in Q3 2025 was $11.8 million or a diluted income per share of $0.19 compared to a net income of $8.1 million or income per share of $0.14 in Q3 2024. Adjusted EBITDA in Q3 2025 was $15.6 million compared to an adjusted EBITDA of $10.7 million in Q3 2024. Moving to our balance sheet, we strengthened our balance sheet and liquidity during the last quarter. In September 2025, the company raised $66 million from leading institutional and accredited investors in Israel. In January 2025, we secured a $100 million credit line from a bank consortium, of which $60 million was used to finance the acquisition of Stellar Blue. The company also generated more than $28 million in cash from operating activities during this quarter. As a result, as of September 30, 2025, total cash, cash equivalents, and restricted cash were $155 million or approximately $94.6 million net of loans compared to $5.5 million on June 30, 2025. DSOs, which exclude receivables and revenues of our terrestrial network construction projects in Peru, were 63 days, similar to the previous quarter. Our shareholders' equity as of September 30, 2025, totaled $391 million compared with $316 million on June 30, 2025. Looking ahead, reflecting our strong performance and visibility into the remainder of the year, we are narrowing our guidance range and raising the guidance midpoints for both revenues and EBITDA. Revenues are now expected to be between $445 million and $455 million, representing year-over-year growth of 47% at the midpoint. The adjusted EBITDA is expected to be between $51 million and $53 million, representing year-over-year growth of 23% at the midpoint. That concludes my financial review. I would now like to open the call for questions. Operator, please go ahead.
Operator: Thank you. Ladies and gentlemen, at this time, we will begin the question and answer session. Press star one if you wish to ask a question. If you wish to cancel your request, please press star two. Your questions will be polled in the order they are received. Please standby while we poll for questions. The first question is from Ryan Koontz of Needham. Please go ahead.
Ryan Koontz: Great. Thanks for the questions. Really nice quarter, guys. Congrats. Wanted to ask about Stellar Blue and how we should think about that trajectory. Where are we now on gross margins at this point in time? And what sort of improvements do you think you can make in gross margin over the coming quarters? And as well as I also want to ask about the product cycle for this version of Sidewinder. How long do you think that lasts before you really need kind of a next-generation product in production? Thank you.
Adi Sfadia: Hi, Ryan. Thank you for the greetings. So Stellar Blue is progressing very nicely. Production is ramping up. We are still behind the targeted gross margin in the first phase of production. We incurred higher expenses than we originally expected. We do believe that during next year, we will see significant improvement in the gross margin that will be combined with orders for line fit on top of the retrofit that we are delivering today. As you can see, we announced $60 million orders, which also included orders for line fit units. We believe that once we start delivering those units, we will see significantly better gross margins. In parallel, the cost reduction efforts are starting to bear fruit, not as fast as we would like, but we see the seeds of it. We believe that next year we will see even a higher reduction in costs. In terms of revenues, it was close to $30 million this quarter. And overall, Stellar Blue was slightly losing. We expect them to be profitable starting Q4. On the next-generation product, we have not announced anything yet. But we are definitely working both on several new programs that will mean once we are ready, we will introduce several new ESA terminals. Our focus today is on the Ku, new version, and also targeting Ka version. And of course, as everyone, we are considering also a version to include Ku and Ka with introducing LEO in Ka, it might be also an appealing offering as well.
Ryan Koontz: That's great. Really nice to hear that. And on the Peru front, you talked about these $85 million in orders. Is most of that incremental to your ongoing kind of maintenance contract there? Or is that also a renewal of that maintenance ongoing rate?
Adi Sfadia: Yes. The $85 million awards that we received during the last few months are upgrades for additional projects. So it's on top of the existing business that we have with Pronatel. It's not a renewal. Those projects, the original projects, are about to be renewed in four to seven years' time. It depends on every region when it shifts to operation. And those projects include both upgrading the network and maintenance contracts until the end of the period. So some of them are for four years, some for five years, and some for more. We do expect several other projects not necessarily related, but some are also related to those projects in the coming few quarters. It will be renewals of smaller projects in scope and renewals of the services that we provide to operators on top of the networks that we built in Peru. In addition, in Peru, we expect that the government will release several new RFPs in the coming few quarters. It's delayed for more than six months. But we do expect them to be released in the coming few months. Next year is an election year in Peru, so we do expect it to be released. So the awards will be announced before the election. But again, in Peru, we cannot control the government, so we are waiting.
Ryan Koontz: Got it. Really helpful. And then on the defense, any impact you are seeing on bookings or product acceptance from the shutdown in the last forty-five days?
Adi Sfadia: To be honest, yes. As everyone, we see we are not getting orders because of that. We do not believe that anything is canceled. It's just delayed in new orders. And probably might cause a small delay between the quarters in 2026 because there is a lead time from the day we get the orders, but we do not consider it now as a big impact on our guidance and forecast.
Ryan Koontz: Got it. And Gil, any impact from FX from the shekel versus dollar in the quarter?
Gil Benyamini: Hi, Ryan. So no, this quarter, we hardly had any impact. We do hedge the shekel. Looking forward, so this effect if we encounter it, it will only be in the second half of 2026.
Ryan Koontz: Got it. I think that's all I got for now. Thank you, guys.
Adi Sfadia: Thank you, Ryan. See you soon.
Operator: The next question is from Louie DiPalma of William Blair. Please go ahead.
Louie DiPalma: Adi and Gil, good afternoon and congrats on the guidance raised and the recent awards. My first question is how many Stellar Blue Sidewinder aircraft are online now? I believe last quarter you indicated there were 225 planes flying with the system. I was also wondering, how is the antenna performing in the field in terms of connecting with the OneWeb constellation? Is the performance similar to what Starlink is achieving? Thanks.
Adi Sfadia: Hi, Louie. Today there are slightly more than 350 aircraft connected. We deliver more units, but connected is 350 units. With more than 300,000 flight hours. The feedback that we are getting both from the customers and from the airlines is that performance is very good. They are very happy with the performance with a very stringent SLA. The antennas, the OneWeb constellation, it's limited by the modem. So we are bringing give or take close to 200 megabits per second on OneWeb. We can bring more, but it depends on the satellites. And I think that it's more than what you need in the aircraft. So I think that the service is at least in part better than Starlink's.
Louie DiPalma: Excellent. And my second question, you discussed on the earnings call two different SkyEdge IV orders that you won that were each worth more than $40 million. Are you able to provide the applications for these awards? And are there others in the pipeline just because these awards seem much larger than your traditional SkyEdge IV? Thanks.
Adi Sfadia: Yes. In general, as you know, the SkyEdge IV is a multi-application platform. So with the same platform, you can sell several applications. The main application for the orders is in-flight connectivity. So it's to increase the existing customer deployment globally with SkyEdge IV in-flight connectivity application.
Louie DiPalma: Great. But for those orders, they do not, they're not on the same planes as the Stellar Blue Sidewinder, right?
Adi Sfadia: Can be on the same plane. Okay. You know, the Sidewinder is a multi-orbit antenna. So on, for example, on the FCS, the old Intelsat, the old Gogo, you have today we start with both the flat modem and one web modem.
Louie DiPalma: Right. Yes. That seems like a in the future for you to definitely add Gilat modems to a future successor OneWeb constellation since it seems superfluous to have two different modems on the same plane.
Adi Sfadia: Yes. The industry wants to have virtualized or several waveforms that will run on the same hardware, something that everyone wants and then Gilat has the ability of course to deliver like that based on the roadmap and the relevant customers. In addition, this quarter we announced that we signed a strategic agreement with an Asian Pacific operator for SkyEdge IV. So we added another customer to the SkyEdge IV platform. And over there the focus will be fixed application and I would say especially cellular backhaul.
Louie DiPalma: Great. And my third question for the $60 million Stellar Blue order, you mentioned how for some of the installations, it will support I think you said line fit. Correct. But what is the timing of when the factory installations with Boeing will start?
Adi Sfadia: So we are broadcasting. We expect to get some of the certification before the end of the year. That will allow in-aircraft installation and some at the beginning of next year. We will be able to have a full installation towards mid-next year.
Louie DiPalma: Great. So by the middle of 2026, that's just there. Excellent. And on my fourth and final question, as it relates to the Stellar Blue milestones, I believe one of the milestones, the second one, was about attaining $100 million in new Stellar Blue backlog by the end of 2025. And I know you received that $60 million order, but do you expect that milestone to be hit?
Adi Sfadia: This is a good question. The milestone is until give or take mid-December. We are in advanced negotiation to get a very large order from one of our customers. And we want the order as soon as possible. So there is a decent chance that we will need to, we will be able to achieve the milestone and pay the earn-out. It still needs to comply with several commercially customer commercially requirements and relevant gross profits and things like that. But in general, we are on track.
Louie DiPalma: Okay, great. Thanks for the answers.
Operator: The next question is from Chris Quilty with Quilty Analytics. Please go ahead.
Chris Quilty: Thanks, guys. Had a couple of questions. Revenues were down sequentially and obviously you're ramping production, but is that more timing of orders or is there a seasonality component? And should we expect revenues to continue to ramp? And is there seasonality in Q4?
Adi Sfadia: In general, we are delivering mainly the terminals, but there are some auxiliary and avionics that is one time per quarter. So it might create some bumps during the quarters. In general, the last quarters' production is stable. We managed to overcome the supply chain issues that we had with one of the components. So we do expect to ramp up production in Q4. We can deliver around 70 to 80 units per month and we are on track to reach that. I believe that next year we'll be able to deliver slightly more than that.
Chris Quilty: Good. And I think you had originally talked about 100 a month earlier this year. Is that the target for '26?
Adi Sfadia: Something like that, yes. Subject of course to backlog and orders, but something like that is what our target for next year.
Chris Quilty: Got you. And I think when you acquired Stellar Blue, it had about 1,000 in backlog. Is the backlog up or are you working down the backlog from here? Or I should say maybe where do you expect as you exit the year with large orders that you expect to close, would the backlog be up or down from that?
Adi Sfadia: It was slightly below 1,000 units in backlog. And we are give or take now at the same level that we were because we received a large order at the beginning of Q3. If the order that we are now negotiating will mature, I believe that we'll end up the year with an even higher backlog than we entered the year.
Chris Quilty: Got you. And again, I know the original target was exiting the year with 10% EBITDA. I'm assuming you're not going to hit that because you're behind with the component issue. But since you just raised EBITDA guidance, where across the portfolio did you make up the difference for Stellar Blue coming up a little bit short?
Gil Benyamini: Yes. So we do have a very nice growth that we see in the commercial and also on the Peru side. They outperform our EBITDA expectation. On the defense, as we said at the beginning of the year, we significantly increased our investment in increased sales and marketing and the R&D investment in order to support future business development. And it seems on track. We saw very nice orders this quarter. We hope that the shutdown will end soon and we'll see also additional orders as we expect Q4 to be strong in booking as well. And we expect to see revenue growth also next year.
Chris Quilty: Okay. You mentioned commercial and specifically cellular backhaul, has been sucking wind for the past year, was it just a good quarter? Or do you see that trend in cellular backhaul starting to gather steam?
Adi Sfadia: It was a relatively small order on cellular backhaul. The main growth on the commercial side is the IFC business that we have and slightly on the fixed side, but the main growth engine is IFC.
Chris Quilty: Gotcha. And back to Stellar Blue. Sorry. There's the third earn-out is based upon the four strategic wins. Have you closed any of those? Or is the fourth quarter large order associated with that? And how do you feel still on track for those events?
Adi Sfadia: So up until today, we haven't closed any strategic deals. The large order is not associated with a new strategic deal. It comes from existing customers. We started several negotiations with customers that can be considered a strategic deal. Remind everyone that the strategic deal is something like, for example, an additional line fit agreement with a minimum commitment of at least $35 million with a significant gross margin. And we are in initial stages of discussion. So I can't predict right now if a contract will be signed until mid-June next year. But no doubt strategic deals will increase significantly our addressable market. So it's something that we invest a lot in and our efforts are on that.
Chris Quilty: Quick question. I know you did a 6-K when you filed for the replacement, but I didn't see a 6-K when it closed. Is it fair to assume that all the terms in the original K were the same for the close?
Gil Benyamini: Yes. The money received, $66 million, net of slightly below $1 million of costs.
Chris Quilty: Right. And just to confirm if you could give it later, but what was the closing share count? I just want to confirm that. And I guess the other question was CapEx was up kind of big in the quarter. Was there anything specific going on there?
Gil Benyamini: So the closing share count is a little bit above 64 million. And what was the second half? Sorry, I didn't hear it clearly.
Chris Quilty: CapEx. The CapEx.
Gil Benyamini: So, I mean, CapEx is going as usual. I mean, it's within the original planning, a little bit higher than last year, but as expected. So no real news over there.
Chris Quilty: Got you. And then maybe final one for you, Gil. I mean, obviously, this was a Stellar Blue drag on the gross margins, which kind of ticked down below 30% for the first time in a while. Where do you expect to sort of, I could say, exit Q4, but if we look at maybe 2026, I know you're not providing guidance, are we back more at the mid-thirty percent gross margin? Is that product line picks up?
Gil Benyamini: Yeah. I believe that this would be a fair statement. Also, we have a burden in the gap of about 2% in our gross margin of depreciation of the backlog. So this will be gone sometime during the first half of 2026 or maybe even before. And then we'll get these 2% in the gap as well. So I think that the mid-30s are a fair statement. And of course, as more line fits and the cost reduction efforts kick in, we may see even higher gross margins looking further.
Chris Quilty: Very good. Thanks, guys. Great results.
Gil Benyamini: Thank you, Chris.
Operator: Please standby while we pause for more questions. There are no further questions at this time. Mr. Benyamini, would you like to make a concluding statement?
Gil Benyamini: Yes. I want to thank you all for joining us on this call and for your time and attention. We hope to see you soon or speak with you on our next call. Thank you very much and have a great day.
Operator: Thank you. This concludes Gilat Satellite Networks Ltd.'s Third Quarter 2025 Results Conference Call. Thank you for your participation. You may go ahead and disconnect.